Operator: Good day, ladies and gentlemen, and welcome to Cogint’s Third Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Jordyn Kopin, Investor Relations. Please go ahead.
Jordyn Kopin: Good afternoon and welcome. Thank you for joining us to discuss our third quarter 2017 earnings results. With me today are Derek Dubner, our Chief Executive Officer; and Dan MacLachlan, our Chief Financial Officer. Our call today will begin with comments from Derek Dubner and Dan MacLachlan, followed by a question-and-answer session. I would like to remind you that this call is being webcast live and recorded. A replay of the event will be available following the call on our website. To access the webcast, please visit our Investor Relations page on our website www.cogint.com. Before we begin, I would like to advise listeners that certain information discussed by management during this conference call are forward-looking statements covered under the Safe Harbor provisions of the Private Securities Litigation Reform Form Act of 1995. Actual results could differ materially from those stated or implied by our forward-looking statements due to risks and uncertainties associated with the company's business. The Company undertakes no obligation to update information provided on this call. For discussion of risks and uncertainties associated with Cogint's business, I encourage you to review the company's filings with the Securities and Exchange Commission, including the most recent annual report on Form 10-K and the subsequent 10-Q. During the call, we may also present certain non-GAAP financial information relating to adjusted EBITDA. Management evaluates the financial performance of our business on a variety of key indicators, including adjusted EBITDA. The definition of adjusted EBITDA and the reconciliations to most directly comparable GAAP financial measure is provided in our earnings press release issued earlier today. With that, I am pleased to introduce Cogint's Chief Executive Officer, Derek Dubner.
Derek Dubner: Thank you, and good afternoon to all who are joining us today to discuss our third quarter results. Cogint is pleased to report a very strong third quarter with record revenues of $57.2 million, a 10% increase over the third quarter 2016. Gross profit margin increased 10 percentage points over prior year to 34%, and adjusted EBITDA increased 84% to $5.8 million. We experienced continued strong broad-base customer demand from existing and new products across both our risk management and marketing services business. Our record revenues and achievement of our set goal of very significant gross profit margin expansion is despite the unique non-recurring challenges we experienced in the quarter. We were impacted by the hurricanes in Texas and Florida as these events affected not only traffic acquisition, but key customers. Of note, our ability to target consumers in both key states was impacted by outages as well several key customers on the marketing services side of the business with reliance on large call centers were impacted by not only the reduction in workforce in preparation for the storms, but also during and after the storms which caused these customers to pull back impacting revenue, as well senior management across the businesses had to devote very significant time, effort and expense in negotiating and constimating [ph] an agreement with BlueFocus International in regard to our transformational transaction which I would discuss in detail shortly. Notwithstanding these challenges, we still posted strong numbers and I am very encouraged by Q4 pacing to date. Our information services segment revenue increased 54% to $22.8 million. Information services gross profit increased 182% to $10.1 million a 44% gross profit margin. Our performance marketing revenue decreased 8% to $34.4 million as we focused on higher-quality revenue which delivers greater margin. This is demonstrated by our performance marketing gross profit increase of 6% to $9.5 million, a 28% gross profit margin. Consolidated gross profit margin increased 10 percentage points to 34%. Turning now to a few themes [ph] that we have discussed in the past. During our last earnings call, I reviewed our priorities for the second half of 2017 and beyond. Of those priorities, I detailed our goal of leveraging our unique technology platforms and differentiated ability to aggregate data through the creation of proprietary data, both through analytics and real-time consumer interaction. I stated our goal of using our competitive advantages to seamlessly introduce new products and solutions to market, that saw for the needs of our customers. On the marketing side of the business, if you have listened to competitor earnings calls, you’ve heard a familiar mantra, success depends on knowing your customer and serving them intelligently. These themes focus on gathering insights on consumers in real time and at massive scale. When I hear this, it reinforces my confidence in our business as a whole and specifically our initiatives. Our marketing services business is unmatched in gathering real-time insights at massive scale. A great example of the leverage ability of our unique platforms is our just announced release of "FOREWARN "powered by our core platform, which delivers real-time solutions primarily via mobile application to the real estate industry. With the advancement of technology over the years, the real estate industry has moved online resulting in buyers relying less on agent representation and contacting agents directly to view properties. Our research indicated a glaring vulnerability in the industry, agents have no idea who they are now alone with in a property. Agents have a right to know who they are doing business with, and brokers are now able to reduce liability by making FOREWARN available to their agents with as little as a single data point. For example, an incoming phone number, agents can verify identity, evaluate risk by viewing the criminal history of a subject and validate financial and other information provided by the subject. In just 60 days, we developed and launched FOREWARN and the response has been nothing short of phenomenal. Not only from agents, but also real estate associations, and nonprofit organizations who has struggled for years to ensure agent safety. We have received quick praise in the form of coverage by the New York Post, CNBC and other media outlets. This is but one example of our ability to develop and commercialize products, derived from our technology platforms faster than others, in the marketplace. We are excited to execute upon our product pipeline, delivering innovative solutions such as FOREWARN to address the needs of various industries and our customers. As well, we are leveraging the cross functionality of our intelligent platforms, core and agile audience engine to create comprehensive marketing services solutions for Fortune 500 consumer package goods companies. Today, we are increasing client ROI, while expanding our margins. We launched new technology to deliver content to audiences via push notifications, which generated revenue of $586,000 this quarter. As well, we are now implementing several new content marketing strategies to deploy across multiple addressable channels, including Facebook, Google and ad supported apps. Our team is dedicated to developing highly targeted and refined original content to drive consumer interactions and to optimize ROI for our advertisers. Both video content and voice ads are on our roadmap to be launched in Q1 of 2018. We continue to scale our custom audience identity graph enabling more intelligent execution of our marketing solutions across a variety of verticals. We are now generating on average over 850,000 consumer registrations and over 8.8 million compiled survey responses daily with a recent record high of over 1 million registrations and over 10.3 million compiled survey responses in a single day. Turning back to the risk management side of the business, we continue to execute on our robot product roadmap. As we stated in the past, and as we will continue to do so, IDI core continues to evolve with new data sets used during the quarter and new functionality. We recently announced the release of our comprehensive report and IDI core offering, and an essential tool in the risk management arsenal for our customers. We are receiving great feedback. As with many of our offerings, this release was essential to further penetrate our markets and to get ourselves further ingrained in the daily workflow of our customers. While I’m excited about this release, I’m even more excited about the plan for this offering going forward. This offering alone has a dedicated product roadmap, where we plan to transform this solution into a report the market has never seen, at a more mature state, expect to see novel data points and data visualization unlike anything that competition is offering today. On our last call, we discussed the formation of several strategic relationships with leading mobile identity authentication and background screening solutions providers. As a reminder, our optimism was premised upon the extensive markets that these providers serve, including banking, financial services, insurance, healthcare and technology, and that we won these relationships from larger, more established competitors. I am pleased to report that we have concluded testing and that these integrations are now revenue-generating with great prospects for growth. Also, on our last earnings call, I emphasized a key primary initiative of increasing demand for custom data products as these products generate our most profitable dollars, providing margin expansion on little to no additional traffic acquisition costs, or TAC. We did exactly what we set out to do this quarter. Despite leaders in the digital marketing space suffering hired TAC this quarter, we delivered lower TAC as a percentage of gross revenue as we continue to leverage our custom audience identity graph more intelligently for the purposes of executing performance marketing and consumer acquisition campaigns across a variety of verticals. In sum, we are highly focused on the highest-quality revenues, which delivers us greater margins. That is one reason you see 44% margins in our information services segment. Notwithstanding our valiant performance since we started this company, an incredible company we built in just over two years time, there are some who do not entirely understand the combined assets of our company. Our innovative technology, the products suite, the product roadmap driven by our unique and differentiated technology platforms and the synergies that exist. As well, we believe there to be certain investment mandate that impair an investors ability to invest in one or the other type of companies, whether the risk management business or digital marketing business. As a result, in September we announced the transformative transaction of business combination with Silicon Valley headquartered BlueFocus International. BlueFocus will contribute to Cogent $100 million in cash and its largest international assets Canadian-based marketing communications Company Vision7 International, and U.K.-based global socially-led creative agency We Are Social, with BlueFocus paying or refinancing Cogent’s existing debt upon closing. The transaction values Fluent Alone at $415 million, a significant premium. Immediately prior to the closing Cogent will spin-off its data and analytics operation, and asset into a new public company expected to be listed on NASDAQ name Red Violet. The shares of Red Violet will be distributed to Cogent’s shareholders as of a record date to be determined as a stock dividend upon closing of the transaction. The arrangements will result in Red Violet launching with cash of a minimum of $20 million and no debt. The current management team of Cogent will be the management team of Red Violet and Ryan Schulke and Matt Conlin, current CEO and President of Fluent respectively will continue in those roles at Fluent. Upon the closing, BlueFocus International will own 63% of the combined company on a fully diluted basis and Cogent shareholders of record will own 37% of the combined company. Cogent shareholders of record will own 100% of Red Violet. This transaction creates tremendous shareholder value in our view, as Cogent shareholders of record will upon closing own shares in two publicly traded companies, and will receive a cash dividend of approximately $1 per share. As further benefits of this transaction, first, as mentioned the transaction delivers a significant and immediate premium to our shareholders, not only with the immediate value assigned to Fluent, but with greater value certainty resulting from the combination of our digital marketing business with BlueFocus’s marketing services companies, as compared to Fluent’s standalone prospects. We believe the transaction will bring greater clarity to the marketplace as the each company’s core competencies allowing each to compete more effectively within their respective markets. As our risk management and digital marketing businesses have distinct financial and operating characteristics, the separation of the businesses will allow each to adopt strategies and pursue objectives appropriate to their respective needs, to focus more exclusively on improving each company’s operations and to enable the optimization of capital deployment and investment strategies necessary to advance their respective compelling innovation roadmaps. This business combination creates a world class global marketing services company. Our combination with Vision7 and We Are Social is a transformative event for our digital marketing business, which has been steadfastly focused on developing mobile first data-driven performance marketing solutions for brands and marketers across a variety of verticals. Our new partner agencies, Vision7 and We Are Social create a framework to deliver a more holistic offering to the market, combining best-in-class creative, brand strategy and global communications with Fluent, unique custom audience development and performance-based marketing model. Prior to entering into this deal, it was on our 2018 roadmap to establish an international presence for Fluent. This expansion would take significant time and resources. This transaction provides Fluent the access to Chief Marketing Officers of leading brands around the world. The combined businesses create a unique marketing services company delivering end-to-end solutions to the world leading brands from creative, to digital, to performance marketing, key attributes of which many leading companies possess one or the other, but not possessing all. Red Violet will be a pure play data and analytics company, continuing its expansion within the risk management industry. As I mentioned, it will have a minimum of $20 million in cash and no debt, but again upon the closing of the transaction our shareholders of record will be owners of two publicly traded companies and will receive a cash dividend of approximately $1 per share. We are working through the various closing conditions. We have already secured majority shareholder approval and recently announced that the Federal Trade Commission granted early termination of the waiting period under Hart-Scott-Rodino. We expect to file our information statement by November 28, 2017. We are in the city [ph] as process and will set a record date once that process is cleared. We expect the transaction to close in the first quarter of 2018. Now, I will turn it over to Dan to discuss the financials.
Dan MacLachlan: Thank you, Derek and good afternoon. This time last year, we talked about spending into some key initiatives, seeing strong proof points within our business model that would allow them to continue to leverage the scalability. At the end of 2016, we talked about the acceleration of our product roadmap, the relief of innovative new products driven by our technology platform, and the increasing adoption of our solutions by customers across markets. What we have seen in 2017 and particularly with our third quarter 2017 results, earning record revenue and record gross profit is the re-affirmation of the continued execution of our business model and market strategy, focusing on those growth categories and clients that provide us the greatest opportunity for margin expansion and ultimately leading to bottom-line profitability. We experienced a number of onetime non-recurring expenses that impacted our P&L in 2017, and the total amount 17.6 million, including 9.2 million and non-recurring legal and litigation costs and 8.4 million in acquisition and restructuring costs. However, we remain intensely focused on driving the company to bottom-line profitability and believe we are now well-positioned to do that. Our information services segment continues to scale expanding our consolidated margin; our performance marketing segment continues to drive consistent growth across multiple verticals and channels. We are well-positioned for accelerated growth in the coming quarters at both the top and bottom line. Moving onto our third quarter results, revenues were $57.2 million a 10% increase over third quarter 2016, driven by strong growth within our information services segment. Adjusted EBITDA was $5.8 million, an 84% increase over third quarter 2016. Adjusted EBITDA margin expanded 400 basis points to 10% as compared to third quarter 2016. Continuing to the details of our P&L, as mentioned, revenues were $57.2 million for the third quarter, despite some negative revenue impact from hurricanes Harvey and Irma, and the intense focus on finalizing the business combination agreement with BlueFocus, we drove record revenue and gross profit in the third quarter. Our information services revenue increased 54% to $22.8 million, with gross profit increasing 182% to $10.1 million as compared to the third quarter of 2016. This was led by strong revenue growth in our consumer vertical, increasing 85% to $7.6 million, our financial vertical increasing 74% to $3.7 million and are emerging vertical increasing 94% to $2.3. Our performance marketing revenue decreased 8% to $34.4 million as compared to the third quarter 2016, however gross profit increased 6% to $9.5 million as we shifted our media spend from lower margin third-party sources to the direct addressable higher-margin channels using our custom audience data. This shift created a much healthier margin profile within our digital vertical, sacrificing some top line revenue which decreased 35% to $10.5 million. Additionally, within performance marketing, we saw strong top line revenue growth from our financial vertical increasing 63% to $7.9 million, and our consumer vertical increasing 47% to $7.9 million. Cost of revenues were $37.7 million, compared to $39.7 million for the third quarter of 2016. This $2 million decrease in cost was the result of a higher percentage of revenue coming from our information services segment, our shift of media spend away from lower margin third-party sources to directly addressable higher-margin channels and are over overall reduction in traffic acquisition costs relative to revenue. Gross profit increased 56% to $19.6 million, producing a consolidated gross margin of 34%, a 10 percentage point increase over third quarter of 2016. SG&A was $27.6 million, a 60% increase over third quarter 2016, driven primarily by non-cash share-based payments, BlueFocus transaction related cost and continued investment in the expansion of our sale, operations infrastructure and technology teams. The $27.6 million in SG&A for the third quarter consisted primarily of $11.1 million of non-cash share-based compensation, $7.5 million in employee salaries and benefits, $2.4 million in transaction related costs and $1.8 million in IT related cost. Depreciation and amortization was $3.6 million in the third quarter 2017, a 2% increase over third quarter 2016. This increase was primarily the result of the amortization of internally developed internal use software. Loss before income taxes was $14.1 million for the quarter, largely a result of non-cash share-based payment of $11.1 million. Loss before income taxes for the third quarter of 2016, was $14.2 million, largely a result of non-cash share-based payment of $7.3 million. We continue to recognize the full valuation allowance on our deferred tax asset and as a result did not book any tax benefit in the period. Net loss was $14.1 million, we reported a loss of $0.25 per share for the third quarter based on a weighted average share count 55.4 million shares. Moving on to the balance sheet, cash and cash equivalents were $10.3 million at September 30, 2017 compared to $10.1 million at December 31, 2016. I do want to highlight our net working capital excluding cash to provide some color on our cash position at September 30, 2017. As compared to June 30, 2017 our net accounts receivable increased $4.7 million and our trade accounts payable decreased $2.7 million for a net gain to working capital of $7.4 million versus the second of 2017. As you know, it is common for us to spend ahead of the fourth quarter as we prime the pump for what is our best quarter of the year. We are very excited with what we have seen in the first month of the fourth quarter as a result of leveraging our extremely healthy, net working capital profile to fuel our business. Moving on to the debt, total debt including the current portion of long-term debt was $62.8 million at September 30, 2017 an increase of $12.8 million from December 31, 2016 a result of the additional incremental term loan taken in the first quarter of 2017. Current assets were $49.8 million at September 30, 2017 compared to $43.1 million at December 31, 2016. Current liabilities exclusive of the current portion of long-term debt were $28.5 million including $5 million in connection with the trap litigation settlement entered into July 22, 2017 compared to $22 million at December 31, 2016. Moving on the statement of cash flows, for the nine months ended September 30, 2017 cash used in operating activities was $2.9 million compared to cash provided by operating activities of $4.4 million for the same period 2016. The $2.9 million used in operating activities was primarily the result of operating loss of $0.8 million after adjustment for non-cash items totaling $46.4 million. Cash used in investing activities was $6.7 million for the nine months ended September 30, 2017 mainly the result of $5.5 million used for software developed for internal use. Cash provided by financing activities was $9.8 million the nine months ended September 30, 2017, a result of $14 million in net proceeds from the incremental term loan taken in the first quarter of 2017, partially offset by the repayment of $3.5 million in long-term debt. For the trailing 12-month ending September 30, 2017 our leverage ratio was 2.4 times net debt to adjusted EBITDA. I will now turn it over to Derek to conclude our prepared remarks.
Derek Dubner: Thank you, Dan. In closing, we posted yet another strong quarter. We delivered record revenue and we executed upon our goal of delivering margin expansion. We’re not building the company for today or tomorrow or even next year. We are building a company for the future. I’m very proud of what we have built, but not complacent. We have much to do on our roadmap. We had unique and valuable technology, approving and dedicated team, a differentiated suite of solutions and demand from our customers, and we are embarking upon a transformative period where we are setting our two businesses in motion on an accelerated path to growth. Given the unique circumstances impacting us this quarter relating to the hurricane and resource allocation to the BlueFocus transaction, we see full year 2017 revenues north of $220 million. We are very optimistic about the fourth quarter and our prospects for 2018.
Operator: [Operator Instructions] And our first question comes from Jim McIlree with Chardan Capital. Please go ahead.
Jim McIlree: Yes, thanks a lot and good afternoon.
Derek Dubner: Good morning, Jim.
Jim McIlree: Thanks. Did the comp report have any impact on Q3 revenue, was there any revenue from the comp report in Q3?
Derek Dubner: I would say it would be diminimus in Q3, we launched at the end of Q3 beginning of Q4. And Jim, it’s very traditional for us to provide for example, a seven day free trial in this business to let customers access that product, so in fact that’s consistent what Dan is saying.
Jim McIlree: All right, so is it reasonable to expect that the Q4 that the impact from the comp report in Q4 will be I don’t know, let’s call it noticeable, but not overwhelming ?
Derek Dubner: I think, look when you look at the information services inside the business, we feel Q4 you’ll see a bit of that the revenue come in but really see notable noticeable material revenue in Q1 of 2018 from the comp report.
Dan MacLachlan: And Jim, it’s really not – it’s for me it’s not a straight line to the comp report. The comp report is a tool within as I say the arsenal. And so, when you go to a customer and you bring a full suite of solutions, it’s that essential part of that solution that wins the customer. And so it’s really the exponential effects of having the comp report and bringing on new customers, getting them to utilize the system, in expanded ways rather than just basic ways. So, it’s while it’s not – it really have an effect throughout the revenues much greater than just seeing it in the comp report.
Jim McIlree: Okay, that’s understood. And just to stick on that a little bit, so you talked about a product development pipeline, as we go through 2018. So would it be reasonable to expect that those impacts build on each other throughout the year as more and more is developed and released, that – is that a reasonable way to look at it?
Derek Dubner: That’s an extremely reasonable way to look at it, that’s really the way these systems are built. You know we, we’ve often said that we released very early iteration very basic products along the way just to the word out, get the branding out, let customers know we’re back in the marketplace, but each solution complements the other. If you are doing a deep due diligence you’re really looking to mitigate risk or figure out information regarding a subject, it’s the comprehensive suite that matters. So every offering as we not only develop it, but every new release is more effective in winning over the customer and then getting fully ingrained in their workflow.
Jim McIlree: Got it. And you guys mentioned the hurricanes a couple of times, I know is difficult to put a dollar amount on how much you think that had an impact, but if you put a – could you put a dollar amount on what the impact was from that hurricanes?
Dan MacLachlan: It is extremely difficult to quantify the impact of the hurricane with great detail. Now as Derek articulated in the call, there were a number of ways in which it impacted us as a company. We have however tried to quantify that number based on some internal trending reports, and we have estimates as high as $1.5 million to $3 million in total impact in the third quarter. But again, it’s very difficult to accurately quantify that number.
Jim McIlree: Right, and then the BlueFocus impact would be on top of that.
Derek Dubner: Correct. I mean the amount of time for management across the board, high level management, you know kind of middle management if you will dealing with the due diligence, trying to consummate the transaction, it was a tremendous effort across the entire organization focused on that while running the day-to-day operations of the business.
Jim McIlree: And on that BlueFocus issues, so it’s we should expect G&A and Q4 to include some element of a BlueFocus work as well, is that correct?
Derek Dubner: Yeah, there was a good portion of the BlueFocus transaction cost included in Q3. There was some in Q2 but however at that point we hadn’t announced the transaction yet, there will be some additional work in Q4 related to the transaction as well.
Jim McIlree: And is that likely to be higher than, less than, or equal to what was on Q3?
Derek Dubner: It’s likely to be lower than what we saw in Q3.
Jim McIlree: Okay. I think that’s it. I’ll let someone else ask questions. Thanks a lot.
Derek Dubner: Thanks, Jim.
Dan MacLachlan: Thanks, Jim.
Operator: Our next question comes from Jim Goss with Barrington Research. Please go ahead.
Jim Goss: Thanks. I think this was probably addressed earlier when the deal was announced but the motivation of the combination of Fluent in IDI was partly to create critical mass as the business of idiCORE was created. I am wondering what makes now the right time to have the separation, are you saying that the progress is such that there will be sufficient critical mass for it to stand [Indiscernible] idiCORE to stand on its own or are there other aspects that are driving the deal?
Derek Dubner: Yeah thanks, Jim this is Derek. I think you hit it on the head on one of them. There are two primary aspects. We’ve said all along that the first two years during this company on the risk-management side, we were in development mode. And so, we also said that the turn of 2017 that we would switch from development to sales driven, and we built out our sales floor, hired some outside representatives, and have taken products to market. And so you are correct that this was a nice inflection point for us, a turning point for us to look at a transaction such as this. As important, however if not more so, you can see on the marketing services side of the business, we have an incredible business. We have, it’s a very unique business. I don’t know of any company out there that engages with the consumer and can deliver such a targeted consumer to the right advertiser the way Fluent can. And when we were presented with the opportunity of taking Fluent International upon the signing of a [Indiscernible] essentially and combining it with two incredible international assets. As I said, I think this is a path that propels both businesses, it really accelerates the businesses far faster than we probably could individually or collectively excuse me as one company. That said, I think we’ve been doing a great job doing that, but again, you also identified that the risk management side of the business is at a nice inflection point, and again this is a great opportunity for it to be a springboard for Fluent, to expand its business very significantly.
Jim Goss: Okay, do I understand correctly that FOREWARN is part of the idiCORE business?
Derek Dubner: That’s correct.
Jim Goss: Could you discuss maybe the scaling of it and the relative importance is this something that’s that you’re expecting to be very major in and have additional applications beyond the real estate market that you are starting with. And other, is this an example of other specialty products -- you and services you expect to be on the come?
Derek Dubner: Yeah, definitely yes, Jim. The core platform that we built, this proprietary platform developed by none other than Ole Poulsen and our Seattle-based technology team. Proprietary next-generation cloud based, you’ve heard me say those terms, Jim. It’s a incredible platform one that confused billions of records it’s highly scalable, and it’s unmatched in power that I’ve seen in the industry since I’ve been in it. And with that platform, we can power many, many solutions and we were not even scratching the surface yet, Jim. We’ve talked before about our longer-term initiatives of taking that platform and not only having it layered over our existing data, from layering it over end-user databases, large Fortune 500 companies understanding their complex problems and solving for those problems by fusing their disparate data along with ours. So there’s an extraordinary platform of which we are going to use to power solutions for many years to come. FOREWARN is just one solution that again through our research we identified a market need, and frankly the response is overwhelming. We had to staff up the team in the last two weeks to accept the inbound demand for this product. And it’s quite extraordinary, it’s an industry that you’re primarily mobile as a real estate agent. You are contacted by an individual, who claims they want to see that multimillion dollar property and yes there are few businesses where you walk into a scenario where you’re completely vulnerable and you have no idea who you’re dealing with. And really, those are the solutions that our platform and idiCORE bring to market. And so yes, you are going to see these are applicable to many areas, we are running down those paths today. And again, for much broader uses and solutions in the future.
Jim Goss: Okay, and maybe the last one. You did outline why the revenues, while increasing, were not increasing to the scale that I think we probably expected, and then you talked about the fourth quarter, full year guidance of $220 million, which suggests that the fourth-quarter might have some of the same issues, now I’m wondering why it would carry over into the fourth quarter, that it might lag the expectations that might have been there certainly around midyear?
Derek Dubner: No, Jim. I think perhaps I’m being conservative, but given where we are today and entering into the fourth quarter, I felt that was an appropriate place to say north of $220 million. I feel very good about what I’m seeing in Q4. I like the trends a lot. We’re still focused on very profitable revenue and that the trending is looking very strong. So I feel good where with that – with north of that number today, and we’ll see where we go, and we are entering our best quarter.
Jim Goss: All right. Thanks so much.
Operator: And this concludes our question and answer session. I would like to turn the conference back over to Derek Dubner for any closing remarks.
Derek Dubner: Great. Thank you very much. Well I’ve basically stated what I wanted to as far as closing again. Thank you all for joining us today. I think this is just another fantastic quarter and I attribute that to an incredible technology, incredible data sets and most importantly, incredible people. We have an incredible organization with just all kinds of people from disparate areas, disparate education, disparate capabilities but together as one. The synergies are outrageous and we are building an amazing company. So I want to thank everybody for joining us today, and have a great evening.
Operator: The conference is now concluded thank you for attending today’s presentation. You may now disconnect.